John Haworth: Good morning and welcome, welcome to our FY ‘22 Results Presentation. Welcome back to those of you in the room here in London and also for those online. I'm John Haworth. I'm head of Investor Relations at QinetiQ. I'm joined by Steve Wadey, our CEO; and Carol Borg, our CFO. Steve and Carol will run through the presentation after which there'll be time for you to ask questions.  Steve over to you. 
Steve Wadey: Great. Thank you, John and Good morning, everybody. And as John said, welcome to our FY ‘22 results. I'm immensely proud of the determination and commitment that our people have shown over the last year, in pulling together to overcome a challenging first half and delivering a strong second half performance across the Group.  The sad events in Ukraine have reinforced the vital importance of a technologically advanced defense industry to society. In the short-term, we seen a modest increase in demand for our capabilities, but more fundamentally, the conflict has reinforced the strategic long-term needs of our customers for differentiated solutions.  Such as our recent contract with the Royal Navy to support them in developing their future Maritime Air Force through an interoperable mix of crude and uncrude systems. With a strong balance sheet and an increasing demand for our high value solutions, I'm confident in our long term strategy to deliver our increased ambition as we outlined at our Investor Seminar last month.  So the agenda this morning is as follows. I'll start by giving you the headlines. Carol will provide a commentary on our financial results, and I'll come back and give you a strategic update, and will then open up for any questions.  So let's start with the headlines. We've delivered good progress with a strong second half momentum. Orders are up 9% on an organic basis, maintaining a robust order book. Revenue is up 5% on an organic basis, profit is GBP137.4 million, equivalent to 11.4% margin before the complex project write-down, which is now fully closed as we said in our quarter four trading update. Cash performance remained strong with 114% cash conversion, up from 98% last year. And earnings per share is GBP20.6 and the full year dividend is up 6% at GBP7.3.  With continued discipline in execution of our customer focused strategy, we have secured record order intake across the Group at GBP1.23 billion delivered excellent revenue growth in Australia, up 26% and in the UK, up 12% driven by good program delivery across all our major contracts. And U.S. revenue recovery was slower than expected, but our momentum is building with 20% year-on-year growth in orders. At a Group level, we've now achieved 75% revenue growth over the past six years.  Looking forward, we start the year in a healthy position. We have GBP900 million of the year's revenue under contract and we are maintaining expectations for Group performance. World events are heightening the market needs for our distinctive offerings and as we shared at our Investor Seminar, we have increased the scale of our ambition to grow the company to more than GBP2.3 billion of revenue representing a further 75% growth over the next five years.  To realize this ambition, we have a robust plan underpinned by investment in organic growth and strategic acquisitions with an enhanced focus on our environmental, social and governance responsibility. We are focused and on track to deliver sustainable global growth over the next five years and deliver enhanced shareholder return.  Our performance has been underpinned by a number of significant operational highlights across our global company. In the UK, we delivered NATO’s largest Missile Defense Exercise, leveraging our successful investment in the long term partnering agreement. The Engineering Delivery Partner contract continues to grow with GBP320 million of new orders and we secured more than GBP160 million of digital intelligence orders demonstrating the criticality of our cyber and information advantage offering.  In February, I was delighted to welcome Shawn Purvis, as the new President and CEO of our U.S. Business. She is strengthening her team and focused on improving our operational performance, including winning larger longer-term programs such as the $70 million production phase for the next generation bomb suit. Our Australian business continues to go from strength-to-strength, including winning AUD97 million of new contracts to deliver technical and engineering services.  Following the pandemic, I'm really pleased to see our Target systems business fully recovered with the largest ever order intake at GBP42 million. In Germany, we continued flying operations throughout the year and are focused on pursuing future opportunities for both operational training and special missions.  And finally, our Space business in Belgium has had a really excellent year with a number of record contracts from the European Space Agency and delivered record revenue. These are just a few of many operational highlights across the company where we are delivering high value solutions, critical to national defense and security challenges, demonstrating our strategy in action.  I'll now hand over to Carol to take us through the financial results. 
Carol Borg: Thanks, Steve and good morning, everyone. It’s really lovely to see some of you again in person following our investment seminar a couple of weeks ago. I intend to provide more detail confirming what we presented in our Q4 trading update that our FY ‘22 results will be marginally ahead of our previous guidance and current market consensus expectations.  So as Steve alluded to FY ‘22 has been a year of two halves. Our first half was indeed challenging impacted by two discrete short-term issues. Drawing on the resilience, strength and disciplined execution across the entire organization, we have delivered a strong second half, and overall have delivered good underlying operational performance at a group level for the full year.  This slide shows our top six financial KPIs that summarize our financial performance for the year. The top row shows that we have delivered our largest order intake at GBP1.23 billion growing 7% on a reported basis, demonstrating high demand for our distinctive offerings. Strong revenue at GBP1.32 billion growing 3% on a reported basis through good program execution and delivery across all our major contracts. Strong cash performance with underlying net cash flow from operations at GBP215.3 million, an increase of 8% on a reported basis largely due to robust working capital management.  You're all aware that we had a complex project write-down in our H1 results. As communicated in our Q4 trading update, we have now fully closed the complex project contract and the financial impact remains the GBP14.5 million write-down with no additional financial risk. To assist in understanding of our underlying performance, I will make some comparisons to results pre-write down.  The second row shows, we have delivered good underlying operating profit at GBP137.4 million, which is equivalent to 11.4% margin pre-write down consistent with our short term guidance. If not for the write-down, we would have delivered underlying profit in line with last year. This impact flows through to the remaining two KPIs. Underlying return on capital employed of 26% decreasing by 2 percentage points and underlying basic earnings per share of GBP20.6 decreasing by 7%. So in summary, good progress with strong second half momentum, resulting an overall good underlying performance in FY ‘22 at a Group level.  So now into orders, we've secured impressive order growth at GBP1.23 billion growing 7%, 9% on an organic basis. As referred to by Steve, in EMEA Services, this has included GBP320 million of Engineering Delivery Partner, EDP framework orders, GBP115 million under the weapon sector research framework and in excess of GBP160 million from Defense Digital and Defense Intelligence.  In global products, this is included a $62 million order for the full rate production contract of the SPUR robots. We continue to build a significant order backlog at GBP2.83 billion as of the March 31, 2022. What is pleasing to see is, our success in winning new business for our distinctive offerings outside the Long Term Partnering Agreement, LTPA. The LTPA is a large multi-year contract that was booked in prior years. As we deliver revenue under this contract, this will naturally reduce the LTPA order backlog.  Order backlog excluding the LTPA is continuing to steadily increase with 7% CAGR increase now standing at GBP1.33 billion. We can also see the realization of our previously stated strategy of moving towards larger, longer term contracts. In FY ‘22, 34% of our orders were greater than GBP5 million in contract value and increase from 28% two years ago. Steve will present how this translates into our pipeline later in the presentation.  Revenue, we have delivered strong revenue at GBP1.32 billion growing 3%, 5% on an organic basis. This has been driven by 13% organic growth in EMEA Services, primarily due to ongoing EDP growth new work under the weapons sector research framework contract and work delivered under the major service provider contract in Australia, again as referred to by Steve earlier.  Global products was down 16% organically, due to the U.S. revenue performance recovery being slower than expected. H2 U.S. revenue was in line with H1 revenue largely due to changing market dynamics and the U.S. Defense budget being constrained by the extended continuing resolution. We start the new financial year with approximately GBP900 million of the group's FY ‘23 revenue under contract, compared to GBP800 of the FY ‘22 revenue under contract at the same time last year. This reflects strong performance in our key framework contracts and provides a greater level of confidence in the delivery of our FY ’23 results.  We have delivered good underlying operating profit at GBP137.4 million ahead of the GBP135 million that we guided in the Q4 trading update. This represents a decline of 9%, 12% on an organic basis. As illustrated on this chart, pre-write-down underlying operating profit would be in line with last year, equivalent to 11.4% margin consistent with our short-term guidance.  EMEA Services delivered 14% organic growth, driven by revenue increases and continued focus on operational efficiency. Unfortunately, this only partially offsets the decrease in global products, which as communicated in our H h1 results was primarily due to slower recovery in the U.S. and the complex project write-down.  So now turning on to the divisional split of the Group performance. First, we have EMEA Services. EMEA Services has delivered significant year-on-year growth across all businesses, driven by successful implementation of our strategy to win larger longer-term contracts, which gives us greater visibility on -- and margin stability. We've increased orders by 6%, revenue by 13%, and operating profit by 14%, all on both the reported and organic basis.  Operating profit margin remained strong at 12.8% slightly ahead of last year, reflecting ongoing disciplined contract delivery and execution and cost control measures. With a book-to-bill ratio of 1.1 times, excluding the LTPA, we have maintained a substantial order backlog, which gives us good forward revenue visibility.  Next, on Global Products. Global Products has had a number of notable achievements in year, including the full rate production CSR-I contract for SPUR robots, which I mentioned earlier. And as referred to by Steve, our Targets business delivered a record high order intake. These achievements have unfortunately been offset by slower performance recovery in the U.S. nothing of which is new rather it is consistent with what we have mentioned in our H1 results.  Order intake was up 8%, 20% organically, driven by the achievements I've just mentioned, partially offset by the write-down which impacted orders by GBP22.5 million Revenue was down 23%, 16% organically, largely driven by slower recovery of the U.S. performance as I explained earlier with operating profit at 0.7%. But excluding the impact of the write-down, the operating profit margin would be 6%.  We continue to work towards double-digit operating margin for this division in the medium-term. Whilst we've experienced slower recovery in the U.S. momentum is building. As evidenced by a book-to-bill ratio of 1.2 times. We are confident in the local leadership teams to deliver strong revenue and profit performance in FY ‘23.  So onto cash, we have delivered strong cash with underlying net cash flow from operations of GBP215.3 million equating to a cash conversion of 114% largely due to robust working capital management. Listening to stakeholder feedback, we have changed our cash conversion definition to reflect our pre-capital expenditure cash flows as a proportion of EBITDA in order to demonstrate how we convert our profit, excluding interest tax depreciation and amortization into cash flow. Under this new definition, we achieved underlying cash conversion of 114% and increase from 98% last year applying the new definition. Also, we invested GBP84.3 million in capital expenditure predominantly driven by the ongoing LTPA and digital transformation.  We retain a strong balance sheet to support investment in our long-term growth strategy. After paying tax of GBP20 million and dividend of GBP40.2 million, we delivered a net cash position of GBP225.1 million as at the March 31, 2022. We maintain a rigorous approach to the deployment of our capital, scrutinizing organic and inorganic opportunities in the same manner to ensure returns to our shareholders appropriately reflect the risks  As I presented at our investment seminar, three weeks ago, we have a clear and concise capital allocation policy that we continue to deploy for the benefit of all of our stakeholder groups. Examples of what we executed under this policy in FY ‘22 are as follows. Priority one, investing in our capabilities, both organically and inorganic. I mentioned on the previous slide, our GBP84 million organic investment in capital expenditure. We continue to explore inorganic opportunities that support our long term growth strategy evidenced by specific adjusting item recognized this year in relation to an unsuccessful inorganic acquisition opportunity.  Priority two, maintaining balance sheet strength. As mentioned on the previous slide, we have delivered excellent cash performance both in terms of cash conversion and ending cash balance. Our balance sheet could support leverage, if we felt it appropriate for the right strategic acquisition opportunity. This is not a target, but something we are open to considering to support the long term growth of the group obviously, if it passes our three investment gates of strategic fit, economics and deliverability.  Priority three, providing a progressive dividend to shareholders. We have announced a full year dividend of GBP7.3 per share an increase of 6% from last year and have made dividend payments of GBP40.2 million during the year. And finally, priority four, returning our excess cash to shareholders. We continue to regularly review this to ensure consistency with our overall strategy. Whilst we have had a material cash balance for a few years and with good operation performance in strategic rigor, this may continue to increase in the short term, we are comfortable with this as it gives us the flexibility in prosecuting strategy as you all hear from Steve later in the presentation.  Other technical factors, the following slide shows the result of the other technical factors contributing to our financial results and the expected trajectory into FY ‘23. Net finance expense is expected to remain consistent into next year. Effective tax rate is expected to increase due to the growth in proportion of international profits. Tax cash outflow is expected to remain consistent into next year. Net working capital is expected to realize a modest cash outflow as a result of our growth ambition and capital expenditure is expected to increase to the upper end of our guidance of GBP90 million to GBP120 million as we continue to invest in our customer facing propositions, our employee value proposition and our business infrastructure.  And finally, our outlook statement. We enter FY ‘23 with confidence, a healthy order book, GBP900 million of revenue under contract and positive momentum. We remain confident to deliver in line with our current expectations for FY ‘23 with mid-single digit organic revenue growth and operating profit towards the middle of our 11% to 12% expected range. Lower than our medium to long term guidance driven by inflationary pressures and our continued investment to support future growth.  As you will hear from Steve, our ambition is to deliver circa 75% growth in the next five years as we have delivered in the last six years with revenue of more than GBP2.3 billion in FY ‘27 and beyond. This means we are targeting mid-single digit percentage compound organic revenue growth over the next five years with strategic acquisitions further enhancing this growth. We are targeting an operating profit margin of 12% to 13% in the mid to long term and ROCE is forecast to remain strong at the upper end of the 15% to 20% range.  And with that, I'll now hand back to Steve. 
Steve Wadey: Great. Thank you, Carol. So now let's turn to our strategic update. QinetiQ’s investment case is to grow an integrated global defense and security company, operating in attractive markets with distinctive offerings to deliver enhanced shareholder returns. Over the last six years, we've built a company delivering good operational performance as shown from the left to the middle of this slide. Growing by 75% to GBP1.32 billion of revenue and growing operating profit at 6% per year, excluding the one-time write-down.  By focusing on our customers’ needs, we've also increased our forward visibility with our three year revenue cover, nearly doubling to GBP1.9 billion and our five years order pipeline, more than tripling to GBP7 billion. Building on this strong momentum and with recent world events reinforcing the long term needs of our customers, we have chosen to increase the scale of our ambition. Our plan is to grow by another 75% over the next five years to more than GBP2.3 billion revenue, as shown from the middle to the right of this slide.  As you heard from my team at the Seminar last month, we see 30% of this growth coming from the UK and more than 50% coming from Australia and the U.S. This plan is enabled by our strong balance sheet and underpinned by rigorous financial discipline through both organic opportunities and strategic acquisitions. We're at an exciting stage in the development of the company and are focused on delivering sustainable global growth for all our stakeholders over the long term.  The global security situation is worsening. Tensions have risen to new heights following Russia's invasion of Ukraine and the Indo-Pacific threat remains. These threats are driving budget prioritization and defense modernization. This picture shows our addressable market in each of our home and priority countries and our current market share, demonstrating that we have significant growth potential.  In the United States, the budget request this year has the largest ever requirement for research and development, and test and evaluation of advanced technologies such as cyber, space, and artificial intelligence. Science and technology also remains at the heart of the UK's strategy with GBP6.6 billion investment over the next four years into research and development and rapid experimentation of next generation capabilities. The Australian defense budget continues to grow rapidly with a strong commitment to building sovereign industrial capability, including test and evaluation, and robotics.  In the last year, we have also seen the creation of a trilateral partnership between the governments of Australia, the United Kingdom and the United States, known as AUKUS. The AUKUS partnership initially formed with a focus on submarines has recently been expanded to include advanced capabilities such as counter-hypersonic. By focusing on these countries and their increased emphasis on novel capabilities, we see heightened need for our high value solutions to drive growth into an addressable market worth more than GBP20 billion per year.  Within this market context, our strategy is unchanged and is increasingly relevant providing a clear focus for our business decisions and our investment choices. We are a company with a clear focus, with a clear purpose, vision and customer value proposition that we call mission-led innovation, co-creating cost effective solutions to meet our customers’ needs at pace, as we have seen reinforced by the conflict in Ukraine.  As we embark on the next phase of growth, we are increasing our emphasis on our people, who are at the heart of delivering our growth strategy and are passionate about our customers purpose -- company's purpose. We're investing in our high performance inclusive culture to ensure we are continuously creating a safe and secure environment for everyone to thrive. As our people thrive, our business will thrive and we will deliver sustainable growth.  We're already making good progress in building this integrated defense and security company through global leverage of our unique capabilities across the Group. Over the past six years, we have significantly improved our customer focus and upskilled our business winning capability, enabling us to win larger longer-term programs consistently. Working in partnership with our customers and our suppliers, we have successfully grown positions on major contracts such as the Engineering Delivery Partner in program in the UK, the Optionally Manned Fighting Vehicle in the U.S. and the Major Service Provider in Australia.  Our momentum continues to build with record order intake this year at GBP1.23 billion. Through continued focus on program execution, we have delivered excellent year-on-year revenue growth in Australia, up 26% and in the UK, up 12%. In the U.S. revenue recovery was slow than we expected, largely due to the U.S. Defense budget being constrained by the extended continuing resolution. However, with 20% growth in new awards, and a new leadership team under Shawn Purvis, we are creating a strong foundation for growth both this year and beyond. Building on our track record of growing the company by more than 75% over the past six years, we are well positioned to grow by a further 75% over the next five years. Our major focus for growth is in our three home countries, the UK, U.S. and Australia, where we are pursuing similar opportunities to support their shared defense and security mission. Through our multi-domestic strategy, we continue to sharpen our focus on co-creating and delivering these distinctive offerings that add value to our customers.  As I've shared before, we deliver mission-led innovation through these offerings as shown on the slide. We optimize our capabilities internally through leveraging our solutions globally so that we can maximize growth opportunities externally through single routes to market. By applying this business model, we create value for our customers and enable growth.  Let me give you a current example in our distinctive offering of experimentation and technology. In the UK, we are world leaders in weapons research and are at the cutting edge of developing laser directed energy technology. We make an important contribution to the UK's sovereign capability as identified in the government's integrated review. We are currently leveraging these world class skills into our Australian business to develop sovereign capability and support next generation laser technology, a key focus area under AUKUS.  With increasing demand for our high value solutions to national defense and security challenges, our offerings are increasingly relevant. A critical element of the success of this strategy is applying disruptive innovation to accelerate solutions for our customers with even greater agility and pace. As I mentioned before, the threat environment has become increasingly complex, as evidenced by recent and current events.  Our adversaries are deploying novel capabilities as seen in Ukraine with the first operational use of a hypersonic strike missile. This changing character of warfare demands a major shift in our customers response to neutralize such threats. Our response to this environment is to ensure that we remain at the cutting edge of technology which can be rapidly integrated into interoperable solutions that create operational advantage.  I've already mentioned that we are a world leader in weapons research. And last year, we secured GBP115 million of orders to develop advanced technologies, including exploring the application of directed energy for counter-hypersonics. Creating technology is not enough. Disruptive innovation requires us to partner with our customers and industry to co-create solutions which rapidly pulls our technology through into operational use.  Our approach to innovation has enabled us to win larger longer term programs and grow our five-year orders pipeline to over GBP7 billion. We've achieved more than 25% growth in the pipeline over the last two years with two-thirds coming from orders worth more than GBP5 million. This expansion in our pipeline underpins our confidence in future growth.  To ensure our growth is sustainable, we are enhancing our focus on environmental, social and governance responsibility. We already have a significant environmental agenda including managing over 50 internationally recognized conservation sites. We also work closely with our customers to co-create sustainable solutions, such as the modernization of St Kilda, a world class heritage site in the middle of our world-class test range as shown in the picture.  From a social perspective, we are a people business and we want our people to feel inspired and everybody have the opportunity to realize their full potential. This year, we are enhancing our focus on both physical safety and well-being, committing an additional GBP10 million into our reward offering focused on supporting those on lower pay due to the rapidly increasing cost of living, and embracing the many forms of difference that make us stronger, including a new global target of 30% women across the company by 2030.  Effective governance is critical to our sustainability. We are focused on strengthening our own skills and processes as well as those of our supply chain. Driven by our company purpose, we take the ethics of defense seriously and carefully consider who we do business with and the projects that we undertake, to protect lives and secure the vital interests of our customers. This year, we're taking our focus on ESG to a new level with 17.5% of all leadership incentives focused on delivering these commitments.  To realize our ambition, we have a clear strategic business plan focused on creating a global leader in mission-led innovation. The picture on the right illustrates the current breadth of our six distinctive offerings in each of our home countries. This provides a guide for our business decisions and strategic investment choices. With a long term objective to build a full suite of offerings in each of our home countries, so that we grow coherently into our GBP20 billion addressable market. To achieve this objective, we drive organic growth by building local capability and leveraging our offerings across countries. Such as the launch of our new test and evaluation sovereign skills program to transfer our world-class capabilities from the UK into Australia and creating new opportunities through our global campaigns. In addition, our strong balance sheet provides the capacity to undertake strategic acquisitions that strengthen our capabilities, extend our customer base and build scale.  We are actively managing a pipeline of opportunities with a priority focus on Australia and the U.S. as we covered in some detail at the investor seminar last month. Our organic and acquisitive strategy is underpinned by continued investment in our people, technology and capabilities to ensure that we stay ahead and are even more relevant to the changing character of warfare. With a robust plan to drive disciplined execution of our strategy, we're on track to realize our global ambition.  So in summary, I'm incredibly proud of how our people have pulled together to overcome a challenging first half and deliver a strong second half performance. We achieved 9% orders growth and 5% revenue growth on an organic basis and delivered GBP137.4 million in profit equivalent to a 11.4% margin before the complex project write-down. We've continued to drive disciplined execution of our strategy, which has now delivered 75% revenue growth over the last six years. World events have heightened the market needs for our distinctive offerings and as a result, we've increased the scale of our ambition to grow the company to more than GBP2.3 billion of revenue, representing another 75% over the next five years.  With a robust plan, underpinned by investment in organic growth and strategic acquisitions, I'm confident that our long term strategy will realize our ambition. We are focused and on track to build an integrated global defense security company to deliver sustainable growth with enhanced returns for our shareholders.  Carol and I, now be happy to take any questions. 
A -John Haworth: Thank you, Steve and Carol. We will do questions in the room here first followed by those online. For those in the room, please I may ask you to raise your hand and wait for a microphone. And for those online, there is a phone number provided for you to ask your question, if you could dial into that. Let's start in the room here first. Charlotte?
Charlotte Keyworth: Good morning. Charlotte from Barclays. So first one for me is, just on your five year growth ambition. You said in the press release that 30% of that growth will be coming from the UK. And that your Australian and U.S. home countries are your targets for M&A. So I'll assume that all organic growth and it represents about GBP300 million of revenue incremental by 2027. Could you just give us a bit more detail on what your assumptions are behind that in terms of where the growth areas are for the UK?
Steve Wadey: Yeah. So thanks, Charlotte. So of the -- maybe just a bit of color first, so of the 75% growth over the next five years, we see about half of that coming from organic growth and half coming from acquisitions. And as we said in the statement, the priority for inorganic is Australia and the U.S., but not solely, we will look at other acquisitions if appropriate. But coming to the UK, growth the assumption is that 30% notionally is organic and Carol, can add some color to that. But it's really through continuing doing the things that we've been doing over the last four or five years. Whether that's in engineering services such as EDP, we see that continuing to bring net positive momentum to the company and expanding some of the services that we've modernized in the long term partnering agreement, including greater throughput from some international customers. So the 30% is organic.  It will come from bigger larger programs, the weapons research framework that we mentioned, we still see that as a major contributor. You’ve seen GBP115 million of order intake on the weapons set to research framework contract, which is a huge achievement. And therefore with the dynamics that we're seeing out of the integrated review and that continued focus on technology modernization and R&D, we'll see that come through research frameworks, engineering service framework contracts and the long term partnering agreement. Carol?
Carol Borg: Maybe just an add on that, shall -- you obviously know that we don't segment by countries. But -- and the UK is spilled across EMEA Services and Global Products. But in FY ’22 EMEA services did grow by about 12.6% in terms of revenue growth. And we are just further to our call just earlier, we are guiding around 4% to 5% revenue growth across the global group in the future. So we'll see a little bit more of an uptick on Global Products in FY ’22 – ’23, beg pardon and EMEA Services will come down to more mid-single digit growth rates in FY ‘23. 
Charlotte Keyworth: Yes, It does, yeah. 
Richard Paige: Good morning. It's Richard Paige from Numis. A couple of questions from me, please. So looking in EMEA services in a bit more depth. The cyber business has obviously growing quite strongly over the last three years. It's now what 29% to divisional sales and it was at 18% only three years ago. Could you just give a bit more color about what's happening there and obviously that trajectory your growth can go forward? And then moving to Global Products, the US order intake obviously much stronger you've got greater visibility starting this year. What sort of trajectory should we see particularly from the U.S. business this year? I'm thinking first half, second half working forwards and obviously with that QTS order book as well?
Steve Wadey: Okay. I'll start off maybe, let's do each one or add some comments on each one. So first of all, what's happening in the cyber the business? Well, what's happening is exactly what we plan to happen. If you remember, five years ago, we recruited James Willis to come in with his background of that cyber domain and he's built a strong team, and he's driven that growth. He's done that exactly as we planned to do, which was focusing on the customer, partnering and building larger longer term projects. So publicly, I think the first large win was the BATCIS program around Battlefield Tactical Communications and Infrastructure, that program has grown revenue rapidly. It's very similar in the mainline defense sectors EDP slightly different scale but those type of engineering and technical services.  In the announcement you may not have gone through in the detail. We've won some significant orders to modernize the intelligence and information management systems for certain parts of defense command. There's some contract wins identified in the report. So it's really about that continued momentum. Richard, we are focusing on the customer and building up those longer term contracts. And as you saw, one of the headlines that amounted to 160 million of additional awards across what is called defense digital in UK strategic command and we are one of the primary partners there now in that sort of relationship. So it's just really good focus and good momentum. We expect see more of that over the coming years. And of course, that will contribute to the 30% growth that Charlotte was asking about.  If you want to cover a bit more on EMEA and then we talk about the U.S. 
Carol Borg: I think you've covered EMEA. 
Steve Wadey: Okay. All right. I going to the U.S. Well, yeah, on the U.S. I won't be specific about next year. But you know our plan, our plan is that we will aim to more than double the size of the business over the next five years. Shawn is doing a great job. She's in the business now for just over two months. She is building a team focused on operational performance. She's particularly building a business development capability, which is entirely analogous to what we've done in the UK over the last year five years and that focus on partnering your real opportunities, longer term opportunities. So I would expect that to start to bring benefits.  So yeah, I mean, the focus is what we've said before, Richard more than double over the next five years, significant component of that will be organic, but as we've clearly identified over the last year and hopefully, if you like my Harvey balls chart, you can see where the emphasis is not just of organic growth, but also where we will be looking to put our capital to work through strategy led acquisitions. 
Carol Borg: I might add on this one, if I may. So obviously, U.S. forms part of the Global Products business and just to reiterate ordinarily in FY ’22, 0.7% operating profit margin if not for the write-down 6% compared to 9.8% last year. We are still working towards our trajectory of moving towards double-digit operating margin in that division in the midterm. Rich, to your point around timing Shawn is in, we've had a great kick up in terms of orders, great book-to0bill ratio, but we're still betting in her team. My recommendation would be not to be too bullish in terms of saying that in the first half, we will take the full year to get that through. I'm not sure we'll get to double-digits in FY ‘23, but I think we'll have a good go at it. So, yes, so I would suggest that it's the trajectory of the full year that you can see the Global Products business rebounding. 
Richard Paige: Tricky follow-up one. It's probably too early to be talking about this, but you've obviously set out a five-year strategy. When do you start properly sitting down on the LTPA renewal, because that will be in that timeframe? 
Steve Wadey: Well, so the renewal officially, is everybody knows because its transparent is 2028. But it's something we're working on every day now because we're continuously looking about how do we modernize the services and make various elements more attractive for both the UK customer and as I referred to Charlotte attracting in further international usage. I mean just as an example of the success of that program, the Test Aircrew Training project that you remember, which was one of the big first air projects. In the last two years and I think we used to get a lot of questions whether we would attract greater international throughput. The UK throughput has increased by 50% on Test Aircrew Training. And the international throughput is tripled in three years.  So that's an incredible example that when you modernize something based on what a customer needs, you do become attractive and then you get the increased revenue and therefore return. And we're talking all the time about what those needs are going to evolve to be, the integrated and review set out what future defense trends were, what was needed in terms of how systems with modernize. And therefore, we can then get ahead of the game to think about how we modernize the test and evaluation services. I didn't speak to it but it was on one of my charts.  I talked about digital T&E, which we talked about before. That is probably one of the big elements of how you create a blend of live and virtual test and evaluation and we're making good progress with our customer on our digital T&E platform that will complement the services that we give in the long term partner agreement. It's called the digital -- no it’s called the defense engineering evaluation capability. That's our [indiscernible] name for our sort of digital T&E platform. And the more that we do those things, the more attractive we will become. So in my mind, staying ahead of the game being customer focus, 2028 is something that will just sell-pass that's the plan. 
Richard Paige: Thank you. 
David Farrell: Thanks. Good morning. David Farrell from Jefferies. Couple of questions, firstly, just in terms of M&A, clearly, the public markets have rerated strongly post Russia's invasion of the Ukraine. Just wondering, has that impacted the conversations you've had with potential M&A partners over pricing or are they sufficiently removed from the public markets that that it doesn't feature? And then my second question was around the space business within Global Products. I think I'm right in saying the Russians have said they're no longer going to collaborate with NASA, the European Space Agency as well. Does that impact the outlook for that business?
Steve Wadey: Okay, Two, great questions. So on the M&A rerating with Ukraine. Directly, I would say, no. But it's probably a bit of a yes and no question, because clearly something like Ukraine creates uncertainty. So you can see a sort of a downside or an upside effect of that. And I guess until where in that significant sort of final stage of pricing, then it's quite hard to sort of answer the question. But in terms of our pipeline, our level of discussion has anything directly changed, not at this stage.  On space, I'm afraid the answer is going to be no again, because we've got a good blend of programs that have got no sort of direct connection between ESA and Russia. They're independent European programs. So not only are they fully funded by the European Space Agency, but we also have some standalone commercial programs here that we're running from the Belgium business. So no direct impact that we see at this stage.
John Haworth: As a reminder for those joining us online, please dial into the phone line provided, if you'd like to ask. Thank you. 
George McWhirter: Hi. It's George McWhirter from Berenberg. Just a question on your order pipeline. It's gone up about GBP1 billion to GBP7 billion. Please, can you just talk about the drivers behind that? Thanks. 
Steve Wadey: Yeah, I mean what's quite interesting if you go on my slides, the first chart on Page 17, it's actually gone from just under GBP2 billion to GBP7 billion in six years, George, so hence my more than tripling over six years and the fundamentals of that were -- and I'm afraid, I've got to go back in history, when we first launched the strategy in 2016, and the primary driver was customer focus, the group at that point in time had very little competitive work. And it really wasn't focused on how it could partner understand customer needs and grow large programs.  And we went through a sort of a major change program to upscale our business winning capability. I think we replace 60% of our business development capability in the company. We changed our processes. We built board to board relationships with all of the major industrial partners in the defense and security world and then we kept focused. And what's happened really is that through that persistent focus of understanding the customer need partnering, working out how we can blend our skills and our supply chain skills, that's why we've delivered record order intake this year and it's why the pipeline continues to expand.  And I think really, it's that simple, keeping to a simple model and focusing on that and driving it through. And as I said, the fact that our pipeline is now at GBP7 billion that gives us huge confidence that the growth trajectory will continue from an organic growth perspective. But that's the key to the to answer your question, George. Having not the ability to see you. I don't know, Oh sorry, you're there. I thought it was on online, you misled me, that it was online. Sorry, does that answer your question? 
George McWhirter: Yeah. That’s was really helpful. 
Steve Wadey: I wish you. I knew you there. I could look to you. 
Charles Armitage: Hi there. Thank you. Charles Armitage from Citi. First of all, on the LTPA. I mean, that's you really need to win that from a strategic position. As I understand it, you get the more you invest, you get a return on that. So presumably, if you were to lose it, you would get a reimbursement from the government from the stuff you've invested. Can you give us any idea of the size of that? 
Steve Wadey: So first of all, we're not going to lose it, as per my prior answer. And if you step back over the last four years, we've committed just over GBP400 million with this contract to modernize it. And it's becoming very attractive, it's getting high utility and it’s on point with delivering what the customers require, that particular scenario about what would happen in such a scenario, isn't something that I'd want to sort of talk about yet publicly. There's clearly a lot of commercial aspects around how a contract would break. The clear focus for us is making sure that through that which is very positive and it's giving us you good returns and giving the customer what the customer wants that we continue to do that so that it's just more and more attractive, more and more relevant. So as I said to Richard, we just sailed past 2028.  And if I look at where we were in 2015, when I joined, it was a real challenge and that's just six years ago, and the engagement with the customer, the feedback from the customer is brilliant. And it's being used in so many different ways. And with six years to go to that point, we're just -- it's a bit like my answer to the business winning answer, we're just going to keep to that focus of listening, understanding, being ahead, investing and make sure that it's just continuously attractive and move forward. And in fact, over the long term, we probably see the demand for the type of activities going through the LTPA’s growing. Certainly, I've had questions about whether the focus on your digital T&E will reduce throughput. We don't see that as the case at all. We see it blending live and virtual capabilities together to actually enhance the spectrum of offerings that we put through the LTPA. And I think as long as we keep that model going it's a scenario that I don't see occurring. 
Charles Armitage: There is a nice poison pill as well, it seems to be. 
Steve Wadey: You might say that. I would say, we'll deliver what the customer needs. So we sell past 2028. 
Charles Armitage: The next question is, we've seen defense budgets across Europe, at least promised to go up. Quite a lot of it seems to be about resilience and the ability to sustain warfare rather than necessarily new warfare stop piling ph. But can you just sort of walk through how your different businesses will benefit from those increasing defense budgets, the LTPA, there's not going to be much more testing, but it's going to be more of the same thing. But in hypersonics or whatever else, will be more to advance weapons and so. They're just sort of puts and takes?
Steve Wadey: Yeah. Interesting to comment you made there, even in recent weeks, we've had increased testing. So my answer to the question is sort of multi-level. So first of all, there have been some countries where you've seen immediate change to defense budgets, Germany probably be the case in point. Other countries haven't yet, but clearly there's a backdrop of tension that might lead to increase budget. But I think the important thing for us is, is not so -- it's clearly helpful to have a positive outlook to macro defense spending. But I think that our primary issue is what are those budgets prioritized on which I think is what your question is really getting at.  And we see that prioritization reinforcing both aspects of our mainstream business. Certainly the engineering services activity, we see that it will expand because engineering services are the key to how customers develop integrate and get capability into the frontline, including how they may need to enhance stockpile. So we do see that creating a positive dynamic on engineering services. But really importantly, the technology led modernization side and I mentioned that quite a lot today, we do see significant reprioritization. I mentioned the U.S. budget request, which is some GBP30 billion higher for this year, includes the largest ever request for research development, and test and evaluation in technologies.  The UK budget has an incremental GBP6.6 billion on advanced technology. So understanding and you've seen this in Ukraine, the technological advantage is critical reinforces what we do every day. So I think that, that sort of outlook is positive for both of our dynamics. And therefore whilst we -- and this may have been a subtlety in what we presented at the investor seminar and today, whilst we haven't changed the scale of our addressable market, we've still referred to that as more than GBP20 billion because of those dynamics that I've just described, that's why we've increased the scale of the ambition to GBP2.3 billion for the company within that addressable market because we see that heightened need in the market for the offerings that we supply. 
Charles Armitage: One more, possibly two, if I may. Inflation, can you just talk about escalation clauses, the ability to pass on inflation what you're seeing?
Steve Wadey: Carol, can take that one. 
Carol Borg: Yeah. I can take that one. So our business is largely a people business And so wage inflation is a key element of the things that we're looking at. Steve mentioned in his presentation, we're investing GBP10 million in our award employee value proposition, which goes a long way trying to address that inflationary measures, particularly for our lower income earners across the organization. That's also, I think I mentioned as well -- I think I know I mentioned that we're investing about 100 basis points of our margin into investment that includes inflationary measures as well.  The other side of the coin is, revenue protection cost base, we enter FY ’23 with GBP900 million of revenue under contract. We ordinarily are 50% hedge either through cost plus contracting mechanisms or in fact, variation of price clauses. And we've still got a bit to get right in terms of delivering next year. So I feel that we've got a good handle on it on the assumptions that we've included to deal with the inflationary pressures, obviously faced by other organizations as well as ours in the immediate term. 
Charles Armitage: GBP2.3 billion mid-single digit organic growth, I can work my calculator compound growth, that gets me about GBP1.7 billion, so you need to buy about GBP600 million-ish, that's -- that makes quite a dent or likely to make quite a dent in your cash pile. Back of the envelope, doesn't seem as though it’s going to be an awful lot of cash to return to shareholders beyond the dividend progressive dividend?
Carol Borg: I’ll go first, again, we have a very clear concise allocation -- capital allocation policy. Our return of excess cash to shareholders is a priority, but there are obviously others that come before that. So investing in organic and inorganic opportunities is certainly there. I think our balance sheet strength also shows that we could support some leverage up to, starting with a two, maybe going a bit higher than that in the short term before we come back, but it's certainly something that we certainly as part of our strategy and something that we've set our store out to achieve. 
Steve Wadey: Yeah. I would just reinforce, I think we've been totally transparent about what our strategy is. We've been totally transparent about the capital allocation policy that Carol's outlined. And as you've seen from our results from what was in the middle column, we had GBP3.7 million of charge related to an acquisition that we chose not to proceed with, which also shows discipline in the way that we think about acquisitions. But our priority as Carol said is, organic growth. We are focused on the countries that we've mentioned. But you can also see, and I mentioned Australia and U.S. is being our priorities when it comes to acquisitions. We will put our balance sheet to work on under a strategy led capital allocation policy, that is the plan. 
Charles Armitage: Thank you. 
Steve Wadey: Good questions. 
Annabel Hewson: Good morning. Hi. It's Annabel from Stifel. Just two questions, please after Charles’ marathon. The first one on the circle chart, thank for that on Page 24. Just really from a sort of an M&A standpoint, and I know that we are thinking of larger scale acquisitions. Do we have a preference here to broaden the offering in circles that already partially filled or could we go into a blank circle as it currently stands? 
Steve Wadey: It's always hard with a generic question, but the answer we could do either. It's a very simple depiction to try to help guide you. But yes, so if we take an example of engineering services in the U.S. 90% plus our engineering services in the U.S. is around the army. Could we consider moving that breadth into aero or maritime through an appropriate capability expansion, yes, we could. Would we consider moving into a complete blank circle in the U.S. around cyber and information advantage, yeah, absolutely because it complements what we currently have in the U.S. And we can see strong leverage across the countries in line with what we do in the UK.  So the answer is, it could be both of those scenarios, Annabel. And the acquisition that we were taking exceptionally seriously made during the course of the year, would have filled some of those significant white spaces as well as expanding the customer domain. So we actually did both given the scale that it was. And if your question then moves on to, well, are you focused purely on one scale? The answer is no, our pipeline that we're looking at, we'll be looking at acquisitions in the $100 million class up to multi $100 million class. So again, the world of acquisitions as we all know, it does take two to tango. But we have an active pipeline time we have many parallel discussions and time will determine exactly what we proceed with to fill in those charts. 
Annabel Hewson: Cool. Thank you. And second question possibly less generic. Just on QTS, great sort of rebound there after the delays we saw with COVID, given new product development winning new customers, I mean, is there sort of a way we can think of how that the growth rate in that business over the next two, three years? 
Steve Wadey: Yes. Do you want to answer first? 
Carol Borg: In terms of just the financials of QTS. 
Steve Wadey: Yeah. 
Carol Borg: Yeah. QTS had a really strong rebound and we're back to FY ’19 level. So we've got over the hump of COVID and I'm really encouraged with the record order intake, Annabel that we've seen in QTS this year. So from a financial perspective that my comments on that maybe you could build on that. 
Steve Wadey: Well I mean, that's... I mean, I'd like you was really pleased because I remember a year or so ago being asked well given the impact on QTS will it ever come back, and we were very clear that the need for the type of target products and services that we provide I've got long term need in this sector. And I think that's evidenced by the 42 million orders this year. So I'm really pleased that it's coming back. In terms of where the business goes, in terms of product development, and we've talked about these two before, but there are two next generation products that are just coming online now, which we're seeing active customer demand for.  One of them is our supersonic target called the Rattler missile, in fact, we didn't talk about it because we had a lot to talk about. We want a $10 million, this is a good example of global leverage. We want a $10 million order in the United States, as a sort of a cross selling success between our Canadian operation into the U.S. So the U.S. is now procuring from QTS. So that's a really significant milestone. We expect that demand for low cost supersonic targets to grow.  The second that we've mentioned before is the next generation Banshee. Banshee NG that will -- it's now completed its development testing around the sort of turn of this calendar year and that we now have two or three customers lined up. So we see that coming forward. So we have those two next generation products that will continue the short term is sort of order intake revenue growth as it comes back.  And then more longer term, I sort of refer to the sort of picture on the front of the presentation. The ability to get to a point where we're now in a partnership with the Royal Navy, as an example looking at their future Maritime Air Force, which is then looking at how you might team effectively uncrude systems such as these type of advanced targets with crude aircraft. Actually it gives us the ability to explore further evolution of that target business. So, we're doing well today. We've got two products coming on the stock and I think that we're about to enter a new sort of epoch, if you like of next generation development beyond those two. So, yeah, very much pleased to bounce back and see great long term potential for QTS. 
Annabel Hewson: Thank you. 
Steve Wadey: Great. Well, thank you very much for joining us today and thank you for your questions, and look forward to any other questions in due course. Thank you.